Unknown Executive: Good morning, ladies and gentlemen, and welcome to today's earnings call of the PVA TePla AG following the publication of the figures for the first -- for the third quarter of 2025 and the first 9 months. In a second, CEO, Jalin Ketter; and CFO, Markus Groß will present our results. And after the presentation, as usual, you will have the opportunity to ask your questions in a Q&A session. And having said this, Ms. Ketter, the stage is yours.
Jalin Ketter: Thanks, Sebastian, and also good morning from my side to our earnings call of the third quarter. Before we start with the presentation, let me give you some general remarks. The economic situation around us is still challenging, and it was getting even worse in the third quarter as, yes, it materialized in our operational business at the end of the third quarter. But we also see a very positive development in our order book and a very good start into the fourth quarter. And what makes me even more positive for that long-term development, we see the first R&D projects that are starting to contribute to our order book with, yes, contracts from battery development projects that we started during the year 2023 and 2024 and 2025. Yes. So let's have a look to the third quarter. We ended the third quarter with a revenue volume of EUR 55.8 million in revenue. This is significantly lower than we expected before, and we are also not satisfied with that development. That low revenue volume is not related to internal delays in the processing of orders. It's an external effect, which is caused by external reasons such as global trade-related uncertainties, which came to delays in the operational timing at our customer site. And it is a temporary situation that we are in. So we did not see any cancellations, and we also don't expect any cancellations in that regard. Let me give you some examples on that. So there have been customers which are having longer authorization processes to get the systems on site and to make all that approvals for transportation. There have been customers which have decided to bring the system into a different facility than it was planned before. So we had to reschedule everything, transportation and installation. And we also had customers which having delays in their own infrastructure. So building was not ready to move in the system yet. But let me explain a little bit more what does that mean when we look ahead for the next quarter. So we already planned a very busy fourth quarter. That's something that you already realized in the last call. So end of the year was already scheduled as very busy with installations and transportations on our projects. So resources for these projects already have been assigned and delays that we are now having from the third quarter, which are having a higher volume of transportation and installation bringing to the fourth quarter again will also most likely delay orders in processing from the fourth quarter to 2026. And with the reduction of our guidance to EUR 235 million to EUR 255 million, we also did cover potential further delays that are caused by similar external reasons at our customer site. With the CMD that we hold 6 weeks ago, we gave you an insight in our future growth potentials on the long run. And there are no changes to our view on that presentation that we gave to you. This already reflects partly in our increasing order intake, which, as I already mentioned at the very beginning, projects which are building the foundation of that future growth in the metrology business with new customers that we developed out of Asia for automated systems. But also in the Material Solutions area, where now the first R&D projects are starting to contribute. So new battery solutions that are coming to the market over the next years are produced partly with our systems, and these are production lines which are starting to ramp up now. And with that general view, I hand over to Markus to give you a deep dive to the financials.
Carl Groß: Thank you, Jalin. Good morning, and a warm welcome from my side. So let's directly dive into our financials and start with the group revenue. Q3 and the year-to-date figures are below our expectations, especially for Q3 and around 11% below the comparison periods. Q3 with EUR 55.8 million is impacted by the trade-related uncertainties Jalin just mentioned, which have effects on the operational timing and shifting projects from Q3 to Q4. So many of the projects we have originally anticipated for or planned for Q3 are now realized in Q4. And this year pattern is through several projects across markets and product groups. The project completions and the situation are expected to normalize during the first half of 2026. And it's very important to us to -- and we can't stress this enough. There are no delay-related cancellations. The delays we're seeing are a couple of weeks. It's not that projects are paused indefinitely, and we're waiting for go ahead. It's just shifting from one quarter to the other. And on the opposite, several customers have placed additional orders despite having delayed projects in the meantime. So that's absolutely nothing we are currently worrying about that delays are turning into cancellations. Looking at our product groups, we can see that metrology is still a strong contributor to our revenues with almost EUR 72 million and Materials Solutions with EUR 104 million. Regional-wise, Europe and Asia are our most important markets and North America with 13% is our third biggest market. And when we're looking at the order intake on the next slide, we'll see that there is growth potential coming just from the order book for the upcoming months. Order intake is something where we are very happy about the development, almost EUR 33 million in Q3. That's our strongest quarter since the third quarter of 2023. And here, the order intake is driven from demand in both segments and product groups in all entities. So we're very happy here. The book-to-bill ratio in Q3 is with 1.3, something we haven't seen in a long time. And year-to-date with almost EUR 177 million, the book-to-bill ratio is also larger than 1. Looking at the product groups, metrology is still a strong driver for us, and we will see on the next slide, how this has developed over the last 12 months. But also, we're seeing an increasing demand coming from material solutions, which makes us very happy at the current stage here. Looking at the regional split, we can see that Asia and Europe are contributing by approximately 40% and North America with 20% in comparison to the revenues of 13% we have seen on the previous slide. That's why we're expecting here future growth coming from the order book. Yes, the last 12 months, looking at our product groups here, we can see a strong double-digit order growth of 20% per quarter. And in Materials Solutions, the uptick started with Q1 2025, going from 21% in the half, approximately to EUR 21.5 million to EUR 25 million and now in Q3 with almost EUR 42 million. And the drivers here are coming from the synthesis for silicon carbide systems and high-tech anode materials are also here involved. In metrology, it's more a pattern of steps. So we are seeing EUR 30 million in Q3, then Q4 '24 and Q1 '25 with a little bit more than EUR 21 million. And now in Q2 and Q3, it's above EUR 30 million. So very happy with this development here. Looking at the segments individually, we can see that here, in Semiconductor Systems, the revenue is impacted in Q3 by these timing effects and is 18% below the previous year. And the 9 months figures was EUR 115 million, up 15% below the previous year. On the EBITDA, we see a temporary effect in Q3 due to the lower revenue volume and high expenses in R&D and sales for future growth, strategic investments. And we are seeing here a high degree of fixed costs. So this is why we see this strong impact on the EBITDA and its margin for Q3. Year-to-date, it's more or less in line with the guidance despite the missing volume in Q3. So this is more or less what we anticipated for the 9 months figures without the effect coming from the operational timing effect. The order intake is something we are very happy about. So it's the best quarter in semiconductor systems since the first quarter of 2023. Metrology was a strong driver during the whole year. And now with Synthesis, we are seeing additional uptick in the third quarter. In the Industrial Systems segment, the Q3 revenues are more or less in line with what we have seen in 2024 and the 9 months figures are a bit below the previous year. This is especially caused by the lower intakes in 2024 and the long-term running projects we are having in the Industrial Systems segment. At the EBITDA and EBITDA margin levels, we are seeing here a reduction on a quarterly basis of EUR 1 million, which is also the same for the 9 months figures that we're here in preparation for future growth, investing in our sales infrastructure, which is increasing the overheads by approximately EUR 700,000 at the year-to-date level. The order intake is stable at EUR 20 million per quarter, more or less, and the demand is here coming from the energy and aerospace sector, but also in Q3, high performance materials, the already mentioned anode materials. Looking at the group profit, we can see that the gross profit margin has reduced from 30.8% down to 29.4%. The main reasons here being the weaker sales and the lower volume causes your lower capacity utilization, which is taking its toll. But also, we've seen on the previous slides that semiconductor systems is below the comparison quarter and Industrial Systems is more or less at the same level or a little bit higher. And this means we are seeing here a shift in the product mix in Q3, which will not be continued, but it's the picture we are seeing here currently in Q3. And due to this change in the mix, we are losing a little bit of gross margin. But on the year-to-date 9-months figures, we remain at a solid level of 32%. The EBITDA on the -- in Q3 and year-to-date are both impacted by the increased overheads for the strategic investments in sales and R&D, we already announced together with our guidance, and we are following through. So let me also take a moment to reflect on the lower cash balance at the end of the quarter with approximately EUR 13 million. The position here is impacted by the timing of customer payments, which had been received in October. We're talking about larger payments. And for Q4, so far, we're expecting strong inflows, which are also supported by a continued order intake momentum. So we're here seeing a timing effect in the cash position, which has already been reverted in the October of year -- in the last month. In terms of CapEx, we remain disciplined and are broadly in line with what we have spent in the prior year until the year's end then. And we're actively managing our CapEx project and the same goes, obviously for our OpEx. Looking at our updated guidance, we are now expecting revenues between EUR 235 million and EUR 255 million and an EBITDA between EUR 25 million to EUR 30 million. This is due to the multiple times now mentioned project timing shifts operational-wise. And for '26, we're expecting a gradual recovery in growth versus '25. And earlier than usual, we will release our official guidance for '26 together with the preliminary figures for the year '25 latest early February '26. So for a strategic update and the outlook, I'm handing back over to Jalin.
Jalin Ketter: Thanks, Markus. In this section, we now also included an update to our organizational development that we will give you on a regular base. Today, I brought you 3 samples on efficiency. So let's start with a view on our production line and what we changed there and what developments are there. You know that we are running several production lines from different facilities. These are also including service and installation teams, which are used for single products to make the installation and to do the service. And what we have done and started in 2025 is to increase our flexibility for these people. So we cross-trained the people who are responsible for that single systems to be able to support different products that we are providing to the market. So for example, this is something that is happening in a higher amount on the Material Solutions side. The people from the Material Solutions side are now also supporting metrology systems in the field, and that helped us already with the qualification on our new customers in Asia to be able to support that product in the field as they are having a lot of know-how on the technical side in general, and now they are also educated in the Metrology business. And additional trainings also have been set up for technical and operational development to bring the people to a higher level of education and also -- which also supports the changes that we are at the moment doing in our production line. We, for example, introduced a new shop floor management that is happening every morning in the production line. The availability of our materials have been significantly increased to reduce the time that our products are running through the production line. So there are new processes behind and new concepts, how we are producing our system. And the use of the facility also changed somehow to really use that in the most efficient way, having the right systems in the right production lines running with the right concept. So this is done because on the one hand side, we want to reduce the time that our products are running through the production line. On the other hand side, we are seeing a positive impact on the long run in our margin development with that, changes that we are doing now. And additionally to that, we started a project to more standardize and modularize our products. This is something that we already have done on the metrology side with the systems in a high automation that we are providing to the market now. And we laid that concept out also for the material solution systems now. So there will be changes that we will see over the next years as well on that side. And yes, due to our high position of silicon carbide activities in our order intake that -- sorry, I missed to do the rest of the slide, sorry for that. So let's go also to some other activities that we did next to the production line. In China, we streamlined our operations with consolidating -- transferring our location of Xian to also the office in Beijing that we are running there. In previous times, we had 2 offices and the office in Xian was just responsible for one product line. So it's going in the same direction like what we have done on the production side to really use our resources most efficient also to generate one PVA for the Chinese market and present ourselves in the right way on the market. So this is bringing us efficiency on the cost structure side, but also in how we are developing the market for us. And the last point I would like to mention in terms of the organizational development is on the metrology side. With the Capital Markets Day, we also explained that on the metrology side, something very important is that we are ramping up our production line in a format to support a higher volume and to hire -- to professionalize our processes in the production line. In the beginning of the year, we acquired desconpro and did a vertical integration with this company, which was a former supplier. And the integration process is done now. So our teams are working very closely together, interfaces are cleared and the workflow is running very well. Additionally to that, we increased our clean room capacity in 200 square meters to have the right facility also available for a higher volume of automated systems. And this gives us -- lays the foundation for a doubling of our production capacity on the automated metrology side in the future. So we are prepared to go for that for that through the market development. So let's come now to some insights in the market. You saw that we had a higher portion of silicon carbide activities in our books in the order intake for Q3. So I would like to take the opportunity to give you some idea about our view on the market trends that we are seeing coming up additionally to the business activities that we are seeing in silicon carbide before. So what we saw now in our books is related to the already existing activities, which are going mostly in the energy and e-mobility market. And this is also what you can find in the normal reports that you -- that are available on the market. Additional topic that came more and more in the discussion is the defense sector. So applications were silicon -- based on silicon carbide are very important for that sector, for example, for radar technology, where this is used, and this is something where we see a potential increase in activities additionally to the already established products. There are also 2 new topics that we identified or that are also already in discussion on the market. One is transparent silicon carbide, which then will be used, for example, for VR glasses. So some new developments on the use of how digitalization is changing for us, all of us in the future. And there is a use in advanced packaging as well for interposer materials, so in building cooling structures in that part and power supply for artificial intelligence data centers. And with the products that we are at the moment having in design and our R&D road map, we are covering all of these trends. So for example, for all of these applications, there will be a trend into a 300-millimeter process. So diameters are going up in silicon carbide, and we will introduce our 300-millimeter system into the market in 2026 and present that to customers. So we are prepared for these new applications with a change of our system technology to support that. And additionally to that, we see a strong trend for the sovereignty of supply chain. So especially coming with the applications in the defense sector and the presence of the material and the discussions about, in general, sovereignty of the supply chains in Europe are increasing step by step. Yes. So when you look back overall -- we all look back on what has happened in 2025, then we see a very strong development on the organizational site already within PVA. So we brought people together to get them introduced to our way forward. Our engagement index on employees is more than 70%. So everyone is with us on that road. We started to be more active in the market and changed or started to change sales concepts to present our products at customer site, reviewing the markets, bringing our products in connections with the markets, and we started to also streamline our organization with consolidations of facilities, improvement of facilities. And this is something that we will continuously work on also in 2026 to further lay the foundation of that future growth. So a lot has happened in 2025 already, and we are very motivated to continue with that process. And yes, that's all for now. Thanks, and we are happy to take your questions now.
Unknown Executive: All right. Thank you, Jalin and Markus, and we will now move to the Q&A portion of this call. And we want to make sure that we are able to answer as many questions as possible from as many people as possible. And it's why we kindly ask you to, sorry, limit yourself to maybe 3 questions per person, if that's possible, that would be really great. And first up, we have Marisa Keskes.
Unknown Analyst: Actually, I have 3. And the first is, can you specify if the equipment that have been delayed are related to metrology or silicon crystal growing system or the other material solution system? The second question is, can you provide an update regarding the ongoing qualification process for the metrology? And the third question, if you can quantify how much are the order received from -- for the silicon carbide growing system? And is it coming from new customer or already existing customer? And if the shipment is expected for '26 or beyond?
Carl Groß: So here, the delays we're seeing, it's across all product groups and customers. So there is no clear pattern because all our customers are managing the global situation. And so it's not specific to a product group or a customer group.
Jalin Ketter: And on the qualification side in metrology, we are making a lot of progress. So already orders from that qualification processes are taking part in our order book, which are coming from Asia, especially from Taiwan, we have a good volume already in our books, and we introduced additional systems at other countries already to R&D centers to go on that qualification stage for the 24/7 lines. Silicon carbide systems are related to applications that are already present in the market. We, of course, cannot disclose on single customers. So activities which are behind that are supporting already existing technologies.
Carl Groß: But the revenue can be expected for '26.
Unknown Executive: Michael Kuhn, please.
Michael Kuhn: I'll also stick to 3. Firstly, on metrology, there was no further growth in order intake sequentially. So we're in the low 30s now. Is that kind of a near-term run rate? Or should we expect that number to grow sequentially as we move into 2026?
Jalin Ketter: So metrology business has had a significant increase over the last quarters. And we are now on a level which is already significantly higher. I think I already mentioned that in one of our last calls. So we expect that, that hockey stick is getting a little bit more flat over that short-term time frame until it's getting to a more significant increase again. So like expectation for the next quarters is more a slight growth rather than a significant growth.
Michael Kuhn: Understood. Then into the fourth quarter, you mentioned continuously strong order momentum and also you received further prepayments based on that. Is that also driven, let's say, by a broad base of customers and product groups? Or would you point out a specific area of strength you're seeing right now?
Jalin Ketter: And so what we see as a starting point into Q4 is a very broad base of customers that are placing their orders. So we started very positively into the first quarter, and our pipeline also tells us that we can close with a very positive fourth quarter. There are projects which are more semiconductor related that we are seeing at the moment.
Michael Kuhn: Okay, semi-driven. And then lastly, and that is a kind of broader question. So you expect a gradual recovery into 2026. And I guess that refers to sales and your bottom line. You mentioned more and more R&D projects contributing to the top line new areas in SiC, but battery as well. If you would have to make like an early projection, how significant will those new product groups contribute? And what kind of mix should we expect into next year? And what would be the, let's say, very rough implications for profitability? Obviously, you're not guiding yet.
Jalin Ketter: So the R&D projects are in a starting point to contribute, especially on the battery side. So we stepped into several R&D projects with new system developments that are used for that advanced anode materials with customers. And we are at the moment in an area where customers are having qualifying production lines for that. And we see the first orders, which are now coming not only from the qualifying production lines anymore, which are coming from increasing activities into a steady business. This is something where we will see a step-by-step development coming -- contributing to our book. So we expect already business activities in 2026, but also ahead of 2026 as this is a long-term development in the market, especially in Europe, which we see to generate a step forward in battery technology compared to what we are seeing in the actual availability of batteries. So a significant step to improve that technology. And on the silicon carbide side, we will start to introduce our new systems in 2026. Most likely, the contribution of our activities will start end of 2026, beginning of 2027.
Unknown Executive: Okay. Thank you. All right. Hartmut Moers is next.
Hartmut Moers: Can you hear me?
Carl Groß: Yes.
Hartmut Moers: Perfect. So I would like to follow up on that silicon carbide. If I understood you correctly, you were saying that the increase in order intake was relating to customer relationships that were already there. So I would guess that you have quite a good insight into their thinking about future orders. So can we regard that order intake in Q3 on the silicon carbide side as something that was -- not saying a one-off, but how should I say, extraordinary and then we wait a couple of quarters and then the next order comes? Or is it more something that we should see now on a regular basis or quarter-by-quarter? That would be my first question.
Jalin Ketter: We are seeing silicon carbide activities already continuously in our books. So as I said, this is related to applications that are already existing in the market, what has had a higher portion now. And what we also see that our activities on the metrology side for silicon carbide are starting to bring activities to our discussions as well. We just recently introduced qualified metrology systems for inspection of silicon carbide, pools and wafers, stress measurement and pool inspection. And this is something where we also have a lot of discussions and traffic with customers to introduce our systems in their facilities. So silicon carbide for us is not only anymore crystal growing. It's happening on different areas of that value chain, and this is starting to show up in our books already.
Hartmut Moers: Okay. But the predominant part of the, let's say, additional order intake that you got in the third quarter was still related to the traditional silicon carbon side. It's not just -- it's not already the metrology side, it's more the crystal growing side, right?
Jalin Ketter: The dominant part is coming from -- so this is technology and crystal growth, yes.
Hartmut Moers: Okay. And my second point would be with regard to your statements in relation to [ 2006 ] (sic) 2026. Shall we take from this that the delays that you are facing in Q3 and that translate into Q4 and obviously, from Q4 into Q1 2026, that the start of 2026, i.e., Q1 and probably also Q2 will still be affected before growth is picking up in the second half of the year. Is that how we shall read this guidance?
Carl Groß: No. So I mean we're -- on the operational side, we expect that orders have already shifted from Q3 to Q4 and from Q4 into '26, and we expect that the situation will normalize during the first half of '26. But that's a gradual process there. And here and -- but the long-term growth drivers are intact for '26.
Hartmut Moers: Okay. So you're saying Q2 should be less affected than Q1 2026 and Q3 and Q4 2026 should not be affected by those delays anymore, right?
Jalin Ketter: We are having -- it's a problem on customer side that we are handling this and delays that are happening on customer side. So this is most relevant for orders that have been placed in our books before the political situation and that area was increasing even more than it has done before. So we are expecting also that orders that have been placed already in that more strong situation are not affected anymore by this kind of delays on customer side. So it will run out of the book step by step that there is a kind of delay that is caused by the projects and how customers are running them and how they are doing their decision on facilities.
Unknown Executive: All right. Thank you. Gustav Froberg is next.
Gustav Froberg: I have a couple also. I'll start with one on orders. Could you please just give a little bit more color and granularity on how your order patterns were throughout Q3 and maybe also how they've developed into the first half of the fourth quarter? And in the context of that, maybe you can also tell us a little bit about the status of the customer ramp-up that you are seeing on the metrology side. Are customers in an early stage of ramping up? Are they well underway? Like how saturated are your machines with your new or existing customers today?
Jalin Ketter: So order intake on the third quarter was running month by month very positive. So there is not something that was more present. There was no month which was more present than another one. It was very stable development over that time. And in the Q4, we already started on a similar level than we saw before. The ramp-up on customer side in the metrology is in a very early stage, and we see a demand all over that customer base, including also existing customers that we already developed over the last years.
Gustav Froberg: Great. And then a question on order intake coming from Asia. You very nicely gave us a pie chart of order intake by region. Could you give us a little bit more granularity on the region there, which countries are bigger and smaller within that pie? And do you expect that mix of countries from an order perspective to change over the course of 2026?
Jalin Ketter: Yes. So the order intake on the regional level in Asia, yes, let's say, coming to become more dominant in countries where we are having semiconductor-related activities. And this is something that we will see more increasing also over the year 2026 that Asia is becoming more dominant in countries where also bigger semiconductor customers are sitting. I think that gives a little bit color on your questions and where you wanted to go for that.
Gustav Froberg: Great. Yes, it does indeed. Last one from me. Just on the sequential nature of metrology, just a follow-up from a previous question. You said you're at a level where you feel like this is a new normal for a couple of quarters now, the sort of EUR 30 million run rate. Is that the right way to interpret it? Or should we still expect some degree of sequential growth in metrology orders, albeit obviously not doubling every quarter?
Jalin Ketter: Yes. As I said, that's -- it's now on a base where we see a more slight growth over the next time rather than significant increases on the short run.
Unknown Executive: All right. Thank you. Constantin Hesse is next.
Constantin Hesse: All right. I've got 3 questions. Let's start with order intake, just following up on what Gustav said. I'm just wondering, look, I understand short-term metrology order, we are at this level now, and you don't expect any major changes from this level in the coming quarters. But just to understand, right, because we do want to understand, you do have this EUR 500 million target in '28. So in terms of the next stage of more accelerated growth in metrology, when would you anticipate that to happen? And what visibility do you currently have that, that will happen? That's the first question.
Jalin Ketter: Yes. We are seeing -- so that's something that's laying on customer side and the extension of their production capacities that they are planning to cover that higher volume of production capacity in chip production as well. So for us, it's on the one hand side, the number of customers that we are qualifying ourselves for, which is also on our side and which we are developing very positive with. So one major player in the semiconductor area also already is qualified. The second one is already using or starting to use system to qualify in 24/7 levels. So we were positive of that development as well, different country. And we also have discussions with additional players, which are a little bit smaller than the ones that we were talking about. And on that side, we are involved in the discussions about ramp-up plans, of course. And these ramp-up plans show us that there will be a higher activity starting from more end of 2026, beginning of '27, where they are moving in more capacity.
Constantin Hesse: Okay. So basically, visibility for that is relatively low. But in terms of timing, you'd expect end of '26 to see a bigger pickup. Understood. And then maybe just on sales and P&L. I mean, just trying to figure out these delays, right? I mean the answer was that it's all related to customer decisions. Those are customer delays. I guess we understand all that. But what I'm trying to figure out now is, if I look at consensus, right, consensus has EUR 300 million in revenues next year. That's 20% growth. So what I'm trying to figure out is, if I look at the qualitative wording that you used for '26, it sounds more conservative, much more conservative. It sounds like you expect a gradual recovery in the P&L in '26. So what I'm trying to figure out is how -- what are the confidence levels that these delays that happened in Q3 will actually be realized in 2026? And I guess that will also obviously give you a boost, right, on top of the underlying growth that you're seeing. So just trying to figure out the dynamics of how you -- how -- on top of the underlying growth, when all these delays should start to come in? Because I understood those delays were going into the first half of '26. So second question.
Carl Groß: Yes, we are very confident that all these delays we're seeing coming from Q4 will be resolved in the first half of '26. And then we will, late January, early February, release our official guidance for '26.
Constantin Hesse: Okay. But on top of these delays, you do still expect underlying growth, correct?
Jalin Ketter: As said, the delays are contributing to 2026 and the official guidance will be announced at the beginning of the year.
Constantin Hesse: Okay. Understood. And then just on the margin development, just trying to figure out here in terms of your OpEx investments. I mean, clearly, you are investing in order to support the growth profile of the company. So just to understand the building blocks leaving '25 going into '26, how we should think about these profitability building blocks into next year?
Carl Groß: Yes. So we're -- the ramp-up in sales is more or less on the level we're expecting looking at the current -- what we're seeing for '26. There will be some increases in the sales. But in general, we are at the level where we want to go for the future growth for now.
Constantin Hesse: I meant the -- in terms of margin development. So in terms of the potential headwinds into next year or tailwinds. So if -- with next year, you expect an improvement in revenue and then in terms of the additional cost investments, so do you expect to start seeing an absorption of fixed costs already next year? Or should we expect continued basically headwinds on the profitability next year of additional investments?
Carl Groß: Okay. No, we already said, yes, we're expecting growth in comparison to '25, and with the building blocks set, the margins will improve there.
Unknown Executive: All right. Thank you. Bastian Brach, please.
Bastian Brach: Can you hear me?
Unknown Executive: Yes.
Bastian Brach: So I keep it short because most of my questions have already been answered, but one remains on the North American market and especially the order intake there, which was quite positive compared to previous like sales split. Is there any measure you would point out which contributed to this good order intake? Was it like early signs that your increased support or increased sales activities like bear fruit? Or was there any market you would point out which did exceptionally well? Or was it like what based?
Jalin Ketter: Yes. So this is already a sign or a result on higher activity on our side, yes, developing the market. We significantly increased our sales activities being present in the market. And yes, system technology is something which is important for the U.S. market, especially in the area of aerospace, but also semiconductor applications where systems are used. And this is also the areas where we see contribution to the order book now coming from, on the one hand side, also the business that we acquired in France, which is mostly related to the aerospace industry. So synthesis technologies for coating of silicon carbide on turbine blades, for example, but also on graphite materials for the semiconductor industry is strong development and joining technologies on the side of our normal Material Solutions business also is something which is very important for us in this market. So nice development and first signs of our activities that we increased in that market.
Bastian Brach: Okay. So you would expect that to continue that the North American order intake would be at this level as a split overall or even higher in the future quarters and years, right?
Jalin Ketter: Yes, of course, that's our aim to significantly increase the North American business.
Unknown Executive: All right. So we still have a couple of minutes left. Are there any additional questions that you may want to ask? Okay. If that's not the case, then thank you very much for joining us today. And yes, have a good day.